Operator: Good afternoon. Thank you for attending the New Relic 4Q FY 2022 Earnings Call. My name is Simia and I will be your moderator for today. [Operator Instructions] I would now like to pass the conference over to our host, Peter Goldmacher, Vice President of Investor Relations.
Peter Goldmacher: Hi, everyone, and thanks for joining our Q4 fiscal '22 earnings call. We published a letter on our Investor Relations website about an hour ago and hope everyone had a chance to read our letter together with today's earnings press release. Today's call will begin with prepared comments from Bill and Mark and then we'll open up the line for your questions. During this call we will make forward-looking statements, including about our business outlook and strategy, which we based on our predictions and expectations as of today. Our actual results could differ materially due to a number of risks and uncertainties, including the risk factors in our most recent 10-Q and upcoming 10-K to be filed with the SEC. Also during this call we will discuss certain non-GAAP financial measures. We have reconciled those to the most directly comparable GAAP financial measures in our earnings release. These non-GAAP measures are not intended to be a substitute for our GAAP results. And finally, this call in its entirety is being webcast from our Investor Relations website and an audio replay will be available there in a few hours. And with that, I'd like to turn it over to Bill.
Bill Staples: Thanks, Peter, and welcome to the call everyone. New Relic is in a stronger position now than it was a year ago when I was announced as CEO successor. Let me share with you five key accomplishments of FY '22. First we accelerated our total revenue growth rate from 11% in FY '21, to 18% in FY '22 by adding almost $120 million to the top line this year. Underneath this, our net revenue retention rate or NRR grew for each of the reported cohorts and on an aggregate basis. This was driven by strong market acceptance of our products and our new pricing model, and importantly, we were able to achieve this growth while keeping sales and marketing spend essentially flat excluding the amortized commission expense we discussed in detail last quarter. Second, we migrated 87% of our business to the new consumption business model. The speed and boldness of this cannot be overstated. I can't think of another company our size, that has successfully transitioned from a legacy business model to a new business model so quickly. Customers see the New Relic model as a clear differentiator, helping them maximize the value of their budgets by avoiding the shelfware and overage penalties associated with many of our competitors. Having the migration largely complete allows us to be single-minded in growing the consumption business going forward versus managing both our legacy and new businesses simultaneously; Third, our total paid customer base is growing again after many quarters of declines. This increases the pool of customers we can nurture to higher levels of value through both in product and sales-assisted efforts. Fourth we're exiting the year with non-GAAP gross margins in the low 70%s after four straight quarters of non-GAAP gross margins in the 60%s, another early indicator of the progress we expect to see towards healthier margins in the quarters to come. Fifth, and finally our platform has never been stronger. Our data-centric approach to observability allows us to release waves of new innovations in FY '22 which further differentiated us from competitors and laid a foundation for increased adoption, across our nearly 15,000 customers going forward. We not only extended our lead with APM by introducing new capabilities like Errors Inbox and CodeStream but we also revamped major platform capabilities like logs and infrastructure monitoring, while extending our differentiation with brand new capabilities like Explorer, Pixie and NPN. Historically customers came to New Relic primarily for APM, but our all-in-one platform approach is broadening the appeal of our offering. Almost 26%, of our customers use all four of our top capabilities, APM, infrastructure, Logs and Browser and that number moves to almost 50% of our largest consumption customers. A significant increase from one year ago. While FY '22 was a transformative year, there is a lot of work remaining. I've had the opportunity to talk with many investors over the past few quarters since becoming CEO, and I've been listening to your questions and concerns. I've identified four priorities for FY '23. Our top priority remains the same as FY '22 to return our revenue growth to market growth rates, which we've stated at 25% in the intermediate term. We learned a lot about the unique aspects of the consumption model this year and exited the year with a better understanding and seasonality and how customers' consumption can fluctuate for a variety of reasons. We factored this into our plan for FY '23 in an effort to provide greater visibility into the business. To give you a better sense of how our business performed in FY '22, we have supplemented the discussion about revenue in our Investor letter with a metric called consumption run rate or CRR, which is a more real-time view of actual platform usage. We report our monthly CRR for the past 13 months in the Investor letter and you can see a steady growth in consumption throughout FY '22, an indication of increasing platform usage and business health, with the exception of the seasonal dip we reported last earnings call, which Mark, will expand on in just a moment. Following the dip, we've seen a steady rebound in consumption run rate with a strong March and April. While FY '23 is only our second year in the model, and our first with the majority of the business in it we believe this will be helpful baseline for understanding our potential growth, looking forward. Our second priority is to continue to improve our non-GAAP gross margins and return to non-GAAP profitability exiting the year. For FY '23 we would like to exit the year with non-GAAP gross margins in the mid-70%s. The three main themes that will drive this result are top line growth offering customers a broader menu and functionality and price points and fully exiting our data centers by the end of FY '23. We also intend to improve operating margins and are targeting to exit the year with modest profitability on a non-GAAP basis. Our third priority is to accelerate account growth. In addition to the investments in product-led growth we are investing in internal sales people and partner-led efforts to accelerate conversion of our free tier funnel into paying customers. These improvements will build on the demonstrated successes we had in FY '22. Our fourth priority is to help customers realize the full value of our platform. Customers get the most value and the greatest economic benefit when they make New Relic the standard for observability across their enterprise. In FY '22, we landed many marquee innovations and the primary focus for FY '23 is to drive breadth and depth of adoption across our customer base for the dozens of capabilities already in place beyond APM, such as Infrastructure, Pixie, Logs, Network, CodeStream and more. Our product and go-to-market team are both focused on helping customers on ramp and benefit from our all-in-one platform model which will accelerate our growth. In closing, FY '22 has been a pivotal year for New Relic. We've come so far and achieved so much this past year and I'm even more excited by the road ahead. We are hosting our annual FutureStack Conference next week in Las Vegas and have a number of exciting announcements to share in addition to the Analyst Day on May 18. In light of the CFO transition underway, we will forgo updates regarding the company's long-term business model. But we will provide updates on our vision and strategy, including product roadmap and go-to market approaches. And we'll take your questions regarding FY '23 priorities and targets. We ended the fiscal year, strong and with momentum making New Relic a source of truth for every engineer to make decisions every day using data not opinion at every stage of the software lifecycle. Before handing it off to Mark, I want to take a moment to thank him for the contributions he has made to New Relic, Mark was employee number three in New Relic and served an incredible 14 years as New Relic CFO. Mark led New Relic's IPO in 2014 and has been a terrific partner to me throughout our business transformation. We wish him all the best on his future endeavors. We have an active search underway for our new CFO and appreciate that Mark will stay until the transition is complete. With that, I'll hand it over to you, Mark.
Mark Sachleben: Thanks, Bill and good afternoon and good evening to everyone on the call. I'd like to briefly recap our fourth quarter financial results, discuss the metrics we are sharing about the business and provide some additional commentary on fiscal '23. First, the fourth quarter recap. For Q4, we reported revenue of $206 million, at the high end of our guidance, representing year-over-year growth of 19%, Q4 revenue was lighter than we hoped but we exited the quarter with a much better understanding of how to improve going forward. I'll provide a bit more color on that in a moment, but as we share in the investor letter March came back nicely and April was stronger than March. While these are limited data points we are encouraged by what we're seeing. Non-GAAP loss from operations was $16 million, below the low end of our guidance we provided for a loss of between $12 million and $14 million. While our non-GAAP gross margins were 71% and in line with the expectations we set in February, our non-GAAP loss from operations was impacted primarily by our ongoing investments in our business to drive growth. Non-GAAP EPS was a loss of $0.24, below the low end of our guidance for a loss of between $0.19 in $0.22. I'd like to spend a few minutes walking you through the metric that Bill mentioned, consumption run rate or CRR for short. CRR is the annualized dollar value of our consumption business based on usage. By showing how consumption is changing in real time CRR is a good indicator of engagement health of the customer base. As a result of the way, consumption is converted into revenue CRR is not an exact indicator or predictor of revenue. In fact, over a shorter period of time, such as individual quarters, change in CRR and revenue may differ somewhat. However over longer periods of time we believe CRR and revenue will closely align. We are sharing CRR in the investor letter for the full year fiscal '22 as a tool to provide investors with more visibility into our consumption revenue growth as we move to our consumption model over the full fiscal year. Although approximately 85% of our revenue is from commitments, driving consumption is key to our success. With CRR as a backdrop, I'd like to spend a minute going through the dynamics of Q4. Following the success we have had over the past year in transitioning our customers, we now are a consumption business. As we and other consumption based companies have reported, consumption slowed down starting mid-December due to reduced holiday period usage and it took longer than we expected to recover, which means that revenues in December quarter finished on a soft note, and business for the March quarter got off to a slow start, with our first CRR reduction in January and only modest growth in February. There were two major seasonal patterns at play here. First, the reduced usage due to the holiday period. And second, we also observed that those customers who were consuming far in excess of their commitments slowed their growth in the final months of their contract as a means to limit excess. Given Q4 is our largest renewal quarter by far, this had a dampening effect on revenue. We understand the seasonal patterns far better now and are identifying ways to mitigate them in future quarters, which will help us provide greater predictability for the business. March consumption growth returned to expected levels and April was even stronger. Our business transition has been rapid and we continue to learn and get better. We ended fiscal '23 with an improved understanding of the dynamics of our consumption business. Finally, a reminder that our revenue growth is driven by consumption of platform usage, approximately 85%, of which is backed by commitments where customers lock in budget to pay for their consumption providing us good predictability. The revenue from consumption over commitments is more challenging to forecast. However, as the monthly CRR data shows, margin in April are on a good trajectory. Now I'd like to share our first quarter and fiscal '23 guidance. For the first quarter of fiscal year 2023, we expect revenue between $212 and $214 million, representing year-over-year growth of between 18% and 19% respectively. We expect a non-GAAP loss from operations of between $23 million and $25 million and we expect a non-GAAP net loss attributable to New Relic per diluted share of between $0.35 and $0.38. For the full year fiscal '23, we expect revenue between $920 million and $930 million, representing year-over-year growth of between 17% and 18% respectively. We expect non-GAAP loss from operations between $20 million and $25 million and expect non-GAAP net loss attributable to New Relic per diluted share between $0.31 and $0.37. We expect to be modestly profitable on a non-GAAP basis exiting fiscal '23. Lastly, before we go on to Q&A, as you may have seen in the press release I announced my retirement from New Relic this afternoon. It has been an honor and a privilege to lead such a dynamic and visionary organization. I'm so proud to have played a role and helping New Relic grow and deliver on its mission of helping millions of developers and engineers build better software. After 14 years it's now time for me to retire from New Relic. I remain committed to ensuring a smooth transition, and will continue to lead the company until an appropriate successor is identified who will help execute against strategic roadmap, we've laid out. I want to thank all of you for your continuous support of New Relic and look forward to the continued success of the business. And with that, operator, please open up the lines for Q&A.
Operator: [Operator Instructions] Our first question comes from Rob Oliver with Baird. Your line is now open.
Rob Oliver: Great, thank you. Good afternoon, guys. Appreciate you taking my questions. Bill, I had one for you, and then Mark I had a follow-up for you as well. So Bill I wanted to ask, first on the go-to-market side. Obviously over the past year, you guys have made a ton of changes around the sales force and the go-to-market. You mentioned in your letter, in your prepared remarks that the focus for '23 was really to get sales focused on kind of the whole platform. But as you kick off the fiscal year just was wondering if you could talk a little bit about go-to market. Any changes or any update there and then I have a quick follow-up. Thanks.
Bill Staples: Thank you, Rob. Really timely question. It was just a few weeks ago, I actually had a chance to bring the entire go-to market organization together for our sales kick-off. This is really the first time that team has been together in over two years since the pandemic began. And it was my first chance to actually be with them since I joined just a month before the pandemic started and everything got locked down. The energy all week was really contagious as they had exited FY '22 with a ton of momentum. It was especially striking for me and the leadership team, given the way we started the year, if you remember, announcing a restructuring at g- to market and then the significant compensation model change where we moved from commission being based on commitment to 100% consumption based. And throughout the year the go-to-market team has really been over-performing expectation as a whole and the sales kick-off event was really a celebration of that and a jump-start to the New Year. They shared some pretty incredible stories over the course of the week. Maybe a few anecdotes I'd share here. For example in gaming we had a large seven figure customer upgrade to become our second largest globally, and set a new record for a multi-year commit at a sizable eight figure level. In financial services one customer doubled their investment with an eight figure upsell over multiple years to New Relic. They're sending us on average 50 terabytes a day. In travel we saw one customer in Q4, moving up from $150,000 commitment to more than 10x that this quarter, now over 7 figures. And in technology, one of our customers increased their annual commitment 50% moving into the eight figure spend each year for the next three years. We've also been talking about this new customer acquisition channel, that three tier that we launched -- when we launched the platform in mid-2020, and how it's been a great channel for getting new customers into the platform at a free-spend level and finally watch them graduating to more significant levels of spend. Well this last year, we saw that happen with a customer coming in the free-tier. This is a global cloud native banking platform, headquartered in London. They signed up for the free-tier, got engaged by one of our STR and this is a head to head battle with a leading competitor where New Relic was chosen for a multi-year million dollar commitment all starting out with an engineer coming into us through that free tier. So the go-to-market organization is really pumped. They are energized going into this fiscal year. Such a night and day difference from where we started the last fiscal year. I think that's going to bode well for us in growing the business this coming fiscal year.
Rob Oliver: Great. Okay, that's -- really appreciate all the color, Bill that's super helpful. And then Mark, well first of all, congratulations on your retirement and it's really been a pleasure working with you over the years. And we'll miss having around. So all the best. And then I did just want to ask around the -- so unless I missed it, which is a possibility in the letter, you guys did not address the additional expenses in '23 up. So I was just wondering if you could provide any more color around those expenses, their use and thought process behind them. Thanks, guys.
Mark Sachleben: Sure. Thanks, Rob. I appreciate it. It's been a pleasure working with you as well. The fiscal '23 guide, as you can see, we're looking at a loss in Q1 and then roughly breakeven for the rest of the year. And over the last three months, what we've seen -- we see some things tick up that we don't expect to take down notably wages and salaries. There is definitely some pressure in that regard, inflationary pressures. And travel, T&E expense they're starting to kick in and it will take some time to absorb those into our budgets. And we don't expect those to tick down. But on the other hand, there are some expenses in Q1 that are unique to the quarter. We've got our FutureStack Conference. We had our Kick-Off beginning of the year Annual Kick-Off the first time we've had these in-person events. And so, I think they've been great, or the Kick-Off was terrific. FutureStack going forward to a great in-person event, but those two events, are going to add about $10 million or close to $10 million in expense in Q1, which would not be repeated. And so overall, we think we're basically looking at breakeven in the last three quarters of the year and then we think we've mentioned for the full year a loss between $20 million to $25 million. However, I would remind you that -- and everyone that we have the double bubble commission expense. Fiscal '23 is the last year we will be hit with that. That expense is about $23 million in fiscal '23. And so that will be as an expense that's a non-cash expense, that will hit us this year. And we'll go to zero in fiscal '24.
Operator: Thank you. Next question comes from Sanjit Singh with Morgan Stanley. Please proceed.
Sanjit Singh: Thank you for taking the questions. And sad to you go Mark. Really appreciate working with you for last several years now. Also thank you for the consumption revenue run rate metrics. I think that's definitely going to be useful to understanding where usage is going over time. I wanted to understand a little bit about the behavior of the cohorts that we saw in December heading into the March quarter, and particularly I'm trying to understand the dynamic where customers that have been consuming excess of spend are dampening or limiting their usage. Can you just give us a sense of like some of the factors that are driving that and why is that going to be dampening effect in your revenue, because I would assume that their consumption you just sort of baked into their run rate. And so when they renew, they would, I would assume that it would sort of be baked into their usage number. So if you just walk through the dynamics on some of these cohort behaviors as they come up to the end of the contract and the impact on revenue. Really appreciate that. Thank you.
Bill Staples: Yes. Thank you, Sanjit. As we've described before, we break customers' consumption into several cohorts. Everything from running very cold, meaning under their commitment level significantly to burning very hot or consuming far in excess of their commitments. And we monitor customers usage and our go-to-market organization rallies around those customers to try to help them ensure they understand where their consumption is trending as well as making sure that they're getting value from the platform. What was interesting in Q4 that we saw is that final cohort, the ones consuming far in excess of their commitment, so think 130% to maybe 200% of their commitment range slowed their growth in the final month or two of their contract. And that's probably driven out of a number of factors. They obviously want to limit excess and go into their new commitment cycle being as efficient as possible. It's also coincided there with the end of the fiscal year and the beginning of the new calendar year, I mean. And also potentially give them far greater negotiation leverage. So a variety of factors. They're slowing their growth. They still ended their contract far in excess of commitment on the whole. So this has not been significantly dialing down and more moderating consumption when they were already in far in excess of the commitment. And that's behavior that we've now seen, a clear trend around in Q4 and something we feel like we need to better mitigate going forward. One of the learning from that, for example, is that we need to be better at helping support our customers and getting budget for their consumption throughout the fiscal year, so they don't end up in that place where at the very end of the contract they may not have the budget secured, underlying all of that consumption and making sure that they recognize the value they're getting from our platform throughout the year. So that -- those conversations on renewal are based in ongoing conversation around value. Those are some of the changes we're making in FY '23 both early renewals, as well as customer value plans that underlie the consumption throughout the fiscal year.
Sanjit Singh: Then I was also [indiscernible] in terms of understanding some of those dynamics. As we entered this fiscal year I think some of the things that you've said at recent conferences and in the last earnings call, is that the sales team is really going to be freed up to really drive more usage of customers and be that sort of helping hand to drive that more usage. Can you talk about some of the initiatives that you have in place to drive that increased usage? And the second part of that question kind of goes to the comment that Mark, made is that, what would be the impact on revenue. So if you your sales team is successful this year in getting customers to use -- for either more data or users would that necessarily translate into upside into your guidance and sort of the magnitude of upside to your guidance. I am trying to understand this bridge between usage and ultimately revenue and how that's looking going into the next fiscal year.
Bill Staples: Yes, good question. So on the first part of your question around how we help customers this fiscal year differently or in addition to last year. It's pretty significant shift. Last year was all about migrating the business from the legacy model into the new consumption model. And as I've noted before that's a very intensive effort to help customers understand the full capabilities and value of the platform, the new pricing models and how consumption works. It was new for our sales team, it was new for our customers. It was a learning experience throughout the year and I'm so proud of the progress we made. So many companies struggle with that transition between legacy business, and new business for multiple years. We were able to effectively migrate now 87% of the business in just about six quarters. What's now happening is -- now that the majority of businesses in the consumption model, we're orienting our go-to-market organization around value realization. There's sort of two parts to the go-to-market motion. First part is around value creation or helping customers identify the areas where our platform can save them money in terms of hard cost saving through -- for example tool consolidation or increased productivity, increased business performance, their own topline revenue or customer satisfaction, reliability those kinds of things. So we have a part of our go-to-market organization that focuses on those value identification creation opportunity and then increasingly, we're investing in our technical solutions or customer adoption part of our go-to-market organization it's all around value realization. What this team does is once the opportunity is identified, they help jointly document a consumption plan, jointly with the customer help them realize their own business metrics through consumption of New Relic. And that ties their consumption with their spend, with their own internal metric or how they want to see the value recognized, whether its hard cost savings on their side, improved SLAs, improved customer experience, better topline revenue or whatever the case may be. And so that's a significant new motion investment for us on the customer adoption side. We're investing increasing resources, are shifting go to market budget towards that area to support the consumption pattern of our customers And the second part of your question, that is now how we recognize and report revenue each quarter is now the 87% businesses is model. It is based on that consumption pattern so when customers increase the amount of data, they're sending us, or the number of users that directly translates to CRR, that metric that we're sharing in investment letter. And then through our revenue recognition translates to top line revenue that we report for the quarter.
Mark Sachleben: Yes Sanjit, I would just add to that, as I mentioned in the earlier remarks, the short term CRR revenue changes could differ somewhat. And I think if you look back historically, if you parse -- I'm sure folks will be doing us looking at quarterly growth in CRR and then trying to create that to revenue, and you'll see that there is some variability there. And that I think that was a function of the migration to the model, in large part, but in short-term periods you're going to get that. Over a 12-month period I'm really encourage people to take a longer-term view. We look over 12 months, those two metrics, I think will be very closely aligned. And when we look at when we look at the patterns, the underlying trends, the secondary metrics, that's what gives us the confidence as we look forward. But really it's ultimately CRR will be -- should be driving our growth and CRR and revenue over multi-cure period views should be very closely aligned.
Operator: Thank you. The next question comes from Adam Tindle with Raymond James. Your line is open.
Adam Tindle: Thank you, Bill. I just wanted to start on priority to the return, Non-GAAP gross margins to mid-70% and modest non-GAAP profitability exiting fiscal '23. Just curious and sorry I'm managing multiple calls here, but why target mid-70%. I'm just thinking you don't necessarily control data versus seats in the mix of that. Is there things that you can do to influence and achieve that target? And secondly, how we can think about how variable OpEx is in case that mix, it does skew. Would that cause any issues in achieving that non-GAAP profitability metric? Thank you.
Bill Staples: Yes. Thanks, Adam. Good question. Yes, as you noted, we're targeting mid-70%s for FY '23. That's not the end point, we would like to get back to high 70%s low 80$s over a longer term. But mid-70%s feels like a prudent target for this fiscal year given a couple of factors. One of the drivers for our improving gross margins is as I noted we do plan to exit our data centers by the end of this fiscal year. That has been a double bubble effectively that we've carried the last two years. We'll be exiting on time as planned. That will improve margin. We're also though more importantly really getting into a stronger pattern of engineering, excellence around COGS as we build out and scale our services. We've noted before, a lot of the cost pressure that we've seen is driven by the strong data growth, which is a very low margin business for us, 50% year-over-year plus data growth that we've been reporting has put pressure on that, those services. Also, we plan to drive improvements in efficiency around will get us to that mid-70%, mark and then those will continue into FY24 to get us back to the high 70%s, low 80%s.
Mark Sachleben: Yes, just addressing following up on that, of the savings that we expected driving gross margin we think roughly a third of that is going to be coming from the migration out of the datacenters and the remainder being the efficiency and optimization improvements that Bill mentioned. On the expense side, we showed good improvements in go-to market efficiency in fiscal '22, we expect to continue those going forward into fiscal '23. And so I think we do have a good plan in place that will allow us to achieve our goal. I mentioned earlier that wages and compensation expenses are certainly ticking up and I don't know if they see any change in that area. But we do overall, feel like we're making good improvements with what we're doing both in how we structure the go to modernization as well as all the product led growth initiatives we're doing where we're getting much better and much more efficient at not only bringing customers on and to see to pay-go business but also nurturing and growing those customers to higher and higher levels.
Adam Tindle: That's helpful. Maybe just as a follow-up, Bill, on the infrastructure product maybe you could speak of the competitive differentiation in that product. I think investors have a perception that Datadog has kind of run away with that space so how you compete from the product standpoint. And secondly on go to market a lot of that success is in partnering with the hyperscalers at least that's perception spin up a new cloud instance on AWS in -- and you're buying and infrastructure, at the time of that is that an opportunity for you. So, competitive differentiation on product into go to market with that infrastructure product. Thank you.
Bill Staples: Yes, you mentioned the infrastructure products and the differentiation there. To be clear one of the differentiations with New Relic versus say a Datadog is our platform approach. With competitors like you purchase sort of verticalized application, specialized applications like infrastructure monitoring or Log or APM separately as distinct products and those each have distinct prices. They have distinct user experiences and often distinct data stores underneath them. With New Relics, the pivot we made a few years ago is to really optimize for that all in more in platform experience. And it starts of the data layer where we've consolidated all telemetry types and all telemetry sources into one massive hyperscale platform with incredible economics that we now charge, effective June 1, $0.30 per gigabyte for. And that price effectively translates to a significant cost advantage for our customers per incremental host or applications. So the differentiation there comes in a few forms first, in that all in one platform approach that's much simpler to plan for, to budget for and for engineers to use. And then second cost of economic advantages in scale as you add more hosts, or more application and benefit from the cost economics of our Hyper Scale platform. In terms of go-to-market around that, increasingly with FY '23 as I mentioned, we're going to be driving more platform adoption across capabilities. As I shared in my opening remarks and as we've documented in the investor letter, we've seen significant improvement in platform adoption even in FY '22 despite the fact that migration was the focus. We saw customers move from 15% to 25% across all customers using our top four capabilities that include APM infrastructure, logs and our browser product. And that number goes even higher when you look at customers who commit and spend more than $25,000 a year with us. Up to 50% of those use the top four products. So that's I think an advantage for us and a go-to-market motion that we want to really focus on that will drive increased value as our customers use more of the platform and increase consumption and revenue growth for the company.
Operator: Thank you. The next question comes from Rishi Jaluria with RBC. Please proceed.
Rishi Jaluria: Wonderful. Thanks so much for taking my questions. Two here first. I guess I'm just trying to decouple a couple of things. So if we look at the NRR, you had a really strong NRR quarter in Q4, especially for the sub 25K customers, right. And so trailing 12 month metric, so that would imply Q4 was even stronger than the percentage you put out would represent. But I know it's not an exact proxy, but if we look at revenue in the quarter from sub-100k customers, we actually saw that declined sequentially. Can you maybe speak a little bit towards going on there is there may be strength in the sub 25K and the 25k to 100k mix and above 100k is doing well? Maybe walk us through the moving pieces there. And then I have a follow-up.
Bill Staples: Rishi, I mean I'm just trying to follow your comment about revenue declining in the under 100. I guess what gave you that impression?
Rishi Jaluria: If I just do the math on 100k customers as a percentage of revenue multiplied by total revenue in the quarter, right, 81% in Q3, 82% in Q4 and I look at the total revenue for Q3, Q4, right. That has me -- and I know there's rounding, but at the very best it's flat, right, with 136% NRR that's what I'm trying to get at.
Bill Staples: And again, sorry, I'm -- I guess I'm missing something. But no, I think we are seeing good growth in our over 100k segment and under 100k segment. So there could be some rounding in there. And the numbers we're talking about a 0.4 to 0.6 or something. Perhaps that has some sort of impact. But no, we're -- I think we're where we feel like we're doing a good job driving customers, up from the 25k up into the next that's over 25K segment, then that from that 25k to the over 100k segment and we're seeing good growth through the stack. So I apologize, maybe we can follow up with that and get to the bottom of that.
Rishi Jaluria: Yes, just a clarification.
Bill Staples: The other thing I'd say is we are certainly seeing strong growth on the low end and you can see that in the pay-go numbers but on the other hand, we're not seeing declines in any of our segments.
Peter Goldmacher: Yes, maybe --
Bill Staples: Okay, sorry yes, go ahead
Peter Goldmacher: Yes, the NRR metric is a backward looking metric to compare how customers spent this quarter compared to a year ago. And to clarify the numbers, the less than 25k cohort in Q3 was 127%, in Q4, reporting 136%. There is a sizable increase as you said and as Mark, clarified good growth really strong growth on the smaller customers. For the greater than 25k cohort we went from 115 in Q3 to 117 and in aggregate across all customers, total 116 to 119 in Q4. So all customer cohorts and as we look back compared to one year ago, increasing NRR.
Rishi Jaluria: Okay, got it, got it. Thanks and I'll make sure to follow up offline just to make sure I'm understanding it. Second follow up just for my own understanding you're -- through this consumption transition mostly, you said 87% of revenues coming from those on the new consumption model. What I'm maybe struggling to understand is, given that you're basically a vast majority consumption company at this time why are there still as wild swings in deferred revenue, especially in Q4. I mean, we saw it increase $90 million plus, sequentially from Q3 to Q4, I know you have pre-committed, but my understanding was you're still building them in arrears. So I'm just not understanding why is deferred revenue moving. Maybe you could give just help clarify it, that would be really helpful. Thank you.
Bill Staples: Sure. No, just to clarify that -- we -- most of our customers commit for one year and most of our customers continue to pay us upfront for that commitment. What we bill in arrears are our pay-go business, which is large customer with small dollars and then overage. So consumption in excess of commit we will bill in arrears but the commitment that folks, make it, we still almost always get that upfront and Q3 our December quarter and March is our big quarters. March, is our biggest and so these are the tenant times where we tend to going to be getting the big the renewals and the big increases in deferred and then that has a subsequent impact on cash flow in Q4 and Q1.
Rishi Jaluria: Okay, got it --
Bill Staples: Can you also reiterate that? As we mentioned a lot, 85% of our revenue is driven by these commitments that we, that were paid for upfront and then that consumption over-commit and the pay-go, that rest of that business is paid in arrears.
Rishi Jaluria: Okay. That's really helpful. Thanks a lot. And Mark by the way, let me echo my colleagues. It's been wonderful working with you since IPO and wishing you all the best in retirement. Thank you.
Mark Sachleben: Thank you.
Operator: Thank you. The next question comes from Erik Suppiger with JMP Securities. Please proceed.
Erik Suppiger: Yes, thanks for taking my question and congratulations, Mark. First off, on customer count. I'm just curious as you shift your focus from -- away from just migrating customers over to newer sales, is that going to drive or accelerate the growth in new customers?
Mark Sachleben: We are doing things in FY '23 to grow new customers. In addition to the 3 tier funnel that we've been talking about all year in FY '22 which continues to perform really well and we continue to make both product improvements as well as sales improvements in terms of converting those free-tier customers to paid customers. We are investing to increase internal sales as well as partner program and drive new customer growth. And those are the programs around, which gives us confidence to make that priority around accelerating new customer acquisition in FY '23.
Erik Suppiger: What kind of metrics might we track for that? You gave customer count, you had a, we had about 700 customers added I think over the course of fiscal '22. Might we see that accelerate in a significant manner? Any comments in terms of what kind of acceleration we might see.
Mark Sachleben: Yes, we haven't expressed a specific target, but we do expect the growth rate to accelerate. I'd also point you assets we share separately from the total paid customer count. Also, the pay-go customer growth that we experienced in FY '22 which is the primary source of new customers coming into the platform. We will continue to share that, and that is where you will also see accelerating growth.
Erik Suppiger: Okay and then it looks as though your OpEx is going to really step up as we get into Q1 and then it more or less levels off at that at that point for the remainder of fiscal '23. Let me know if that's not correct, but from your guidance, that's what it looks like from my perspective. Is that to suggest that the hiring is going to slow as you get into the latter part of '23 or how should we think of the impact from a headcount perspective?
Bill Staples: We are looking to really front load hiring, but the biggest impact there or the one-time events that we've had between future stack in our company kick off that was important first time that's a bit earlier that was upwards of $10 million spend in Q1. That won't be repeated in subsequent quarters.
Operator: Thank you. Our next question comes from Mike Cikos with Needham and Company. Your line is open.
Mike Cikos: Hi guys, thanks for taking the question here. I guess the first really comes back to the changes in consumption that we saw in the most recent quarter, and how customers were depressing, or dampening their usage. And I'm coming at it from two different ways. And they are both competing with each other. I'm trying to figure out which one is right or if I'm miss characterizing but the first one, if I'm dampening my usage. It's probably because let's say I work for XYZ company as a VP right and I need to -- I'm looking to make my number for the year, right. That's in full support -- me dampening usage to make sure that the company does well and I get my bonus. So the first question is, how do you find that off? And then the second question is if I'm thinking about the massive market trends we hear about observability being this mission critical tool. I'm just struggling to understand how an organization is depressing the provisioning of new users or the holding back of new project starts, in this environment where digital transformation remains top of mind for all these companies. Can you help me square those two items away?
Bill Staples: So you're. I think you're right. If you're a budget holder and you're coming into a renewal cycle and you realize maybe you've heard it all along but you're kind of trying to square up the new budget ask for the new fiscal year with what your current run rate is. That's a pretty motivating function to say, wow, are there any efficiencies I can drive on the spend to make the delta, not quite as large. And your question was how can we help customers mitigate that? Well. I think the realization for us is when we let that gap growth so significant then again the cohort, we're talking about are customers who were consuming far in excess of their commitment think 130% to 200% of their commitment. While we need to do a better job of is helping them, make sure they understand the value. They're getting from that consumption as well as help them secure the budget throughout the fiscal year or the throughout the contract cycle. Because consumption, one of the beautiful things about the consumption businesses is it organically grows throughout the year as the customer identifies ways to use the platform to get more value. That's not often a top down only decision. Engineers will discover new projects, new optimizations they can drive if they can instrument and get more data. Maybe the product gets shared virally within the organization as more engineers discover its value and start consuming. And then at some point the budget holder needs to come to terms with that increased consumption. So we can help them by informing them, keeping them up to date and helping them secure the budget throughout the contract cycle rather than wait for the renewal period. And to square the second part of your question around digital transformation is definitely a top level priority, is driving a lot of the growth that we see. How can they possibly afford to scale back even a little bit? I would say there's always efficiencies to be had, even with our simple user in data pricing model. When we talk about these customers oftentimes they are high 6, 7 big year and spend over the course of -- a little bit of the contract cycle. And when we talk about slowing their growth, again, we are talking about being more efficient about which users are accessing the platform. If it's engineers who have rotated out of the company, we've seen a lot of resignations and people change in companies, cleaning up those user list as an example is the way that people make sure that their spend is being super-efficient. Or looking at all of the sources of telemetry that they're gathering and saying, do we really need to capture all of these or are there projects, maybe that are more in a maintenance date or steady state, and we can ramp down the consumption or put it towards new projects just coming up, that maybe are not at scale. So those are kind of examples, a VP of Engineering might be looking at as ways to manage that run rate going into their new contract.
Mike Cikos: Thanks for that. I really do appreciate it. And then I guess my follow up in the investor letter, there is talk about you guys introducing a higher priced option for data ingest. And I think even on the call you guys had alluded to $0.30 per gig effective June 1. This is the first time since we've gone through this migration that you guys are now talking about a different pricing mechanism on the data ingest. So can you help us think through what's causing the change in that messaging and strategy? And the follow-up on the gross margins, if we don't return to what's been a -- normalized two-thirds, one-third ratio for user to data, how should we think about that normalizing longer term? I think the thesis has been that users over time will follow the data. And I'm just curious, do you guys have evidence of that showing up yet or users growing and following the amount of data that they've been bringing into the New Relic platform?
Bill Staples: Yes. Great questions. You noted, there's sort of two announcements we made a few weeks ago, regarding data and data prices. The strategy going in you have exactly correct. We believe the data is the first sort of leading indicator of growth within an account. It's the original source of insights that we can bring our customers about capturing the data we can help them make more data driven approaches. And so we intentionally priced our data offering when we launched the platform two years ago to be extremely cost advantageous for every incremental host or application, we wanted to price effectively cost plus and that's been very successful for us. We've seen data growth rates 50% above year-over-year as customers have expanded the amount of telemetry that they send us to get those insights. We have reassessed how we look at those costs. Of course, our costs have been going up over the last few years and we've increased the value considerably without changing price for a few years. So we announced the new standard data price is $0.30 per gigabyte and continues to give customers all of the benefits and value that we have been sharing with them over the past few years and we don't see that relatively modest price change really inhibiting our goal to capture as much of our customers telemetry as possible and we don't anticipate significant push back on that price increase. We are though introducing a new data plus offering, which has even more benefit to our customers and is based on some of their feedback and the features and value that they've been asking for, including increased retention rate, including higher query limit some of our customers who sent us petabytes of telemetry and want to be able to in real time clarity that significant date ranges and across multiple engineers, need additional query performance capacity and we can allow that with the data Plus offering, as well as new data sets and new capabilities that we're bringing to the platform will be on top of the Data Plus offering. So there is a higher priced offering of the entering the market June 1 as well. That will be selling into customers to give them even more value. As to your question around whether that mix will change, I think that is still to be determined and based on acceptance of that data plus view we could very well see the mix shift towards more data contribution to revenue versus users, but we'll see how the acceptance of that new data plus works out.
Operator: Thank you. The next question comes from Michael Turits with KeyBanc. Please proceed.
Michael Turits: Thanks. Mark of course congratulations. Best of luck. Two questions around consumption. But first, you sounded a bunch of seasonal factors and behavioral factors, I know it's tough, are you able to parse, how much of that was from that versus macro or other factors. That's my first question. The concern, In other words, the consumption say shortfall. And second this cohort the cohort the March cohort we don't, we know that the prior two cohorts that were new to the -- We're probably, get back into and growing overall their consumption mid to high teens year-over-year. So is that about where we ended up with the March cohort as well?
Bill Staples: I guess the first question macro we don't see, we have not seen a macro impact on demand, on top-line demand. It seems like we're hearing more and more of our customers, becoming more cost conscious and to the extent that happens, going forward, I think we are fairly well positioned, given we're in a space that only mentioned in observability people really want it. And I think our cost model allows people predictability and a very value-driven offering. So I think that will set us up well going forward. In terms of the overall percentages, the various cohorts. We haven't given explicit numbers around the various cohorts. And I guess I probably want to stay away from doing that and look more at our customer base as a whole. Given we're in a consumption business the customer base and consumption should increase throughout the term of an agreement. And it's not really, I mean if we think about renewal dates and what are they doing about renewal dates and things like that there is some impacts that we have to, as we talk about. Bill mentioned, we've got to make sure we are on top of and we are ready for and we can work to prevent. But I think overall in the consumption business where you are in the contract should not impact your growth rate. And so I would encourage you just look really at the customer base as a whole and the numbers as a whole year-over-year growth rate, things like that much more so than any individual cohorts. Yes, from a growth standpoint, that's the way we look at it and we look at our business. We'll take growth in Q1 from customers that will renew in June just as much as we will take it from customers that renew in December.
Operator: Thank you. This concludes the question-and-answer session. I will now pass the conference back over to the management team for closing remarks.
Bill Staples: All right, thank you everyone for joining, and for your question. And thank you, Mark, especially as he announced his retirement today. We really appreciate 14 years of service and the ongoing support through the transition. Just one final reminder we do have FutureStack next week in Vegas. We will also be streaming the analyst day for those who want to join but we invite everyone to attend in person who can. It will be a great event with customers, new partners and talk with us about the future of the business. Thank you, everyone again. Have a great day.
Operator: Goodbye. This concludes the New Relic 4Q FY 2022 earnings call. Thank you for your participation. You may now disconnect your lines.